Kim Callahan: Good morning, and welcome to Camden Property Trust's fourth quarter 2024 earnings conference call. I'm Kim Callahan, Senior Vice President of Investor Relations. Joining me today are Ric Campo, Camden's Chairman and Chief Executive Officer, Keith Oden, Executive Vice Chairman, and Alex Jessett, President and Chief Financial Officer. Today's event is being webcast through the investors section of our website at camdenliving.com, and a replay will be available shortly after the call ends. Please note this event is being recorded. Before we begin our prepared remarks, I would like to advise everyone we will be making forward-looking statements based on our current expectations and beliefs. These statements are not guarantees of future performance and involve risks and uncertainties that could cause actual results to differ materially from expectations. Further information about these risks can be found in our filings with the SEC, and we encourage you to review them. Any forward-looking statements made on today's call represent management's current opinions, and the company assumes no obligation to update or supplement these statements because of subsequent events. As a reminder, Camden's complete fourth quarter 2024 earnings release is available in the investors section of our website at camdenliving.com, and it includes reconciliations to non-GAAP financial measures, which will be discussed on this call. We would like to respect everyone's time and complete our call within one hour. So please limit your initial question to one, then rejoin the queue if you have a follow-up question or additional items to discuss. If we are unable to speak with everyone in the queue today, we'd be happy to respond to additional questions by phone or email after the call concludes. At this time, I'll turn the call over to Ric Campo.
Ric Campo: Thanks, Kim. Good morning. The theme of our on-hold music this quarter is it's time to move on. The late great Tom Petty captured the current sentiment of team Camden in this verse. It's time to move on. It's time to get going. What lies ahead? I have no way of knowing. But under my feet, baby, grass is growing. It's time to move on. It's time to get going. After a few years waiting somewhat impatiently for better investment opportunities in our markets, we believe 2025 is the year for Camden to move on. In 2024, we saw multifamily deliveries reach a peak level, not seen in over forty years. We expect new supply pressure to lessen throughout 2025, setting the stage for a return to improved revenue and net operating income growth. As the headwinds in recent years turn into tailwinds in 2025 and beyond, there are attractive opportunities for us to continue development starts and to pursue acquisitions. The positive market backdrop positions Camden to begin executing our 2025 strategic plan. The plan follows a similar playbook that we executed after the great financial crisis where we acquired $2.7 billion in apartments with an average age of four years, developed $4.2 billion of apartments, and sold $3.8 billion of apartments with an average age of twenty-four years. Recycling capital in this way keeps our portfolio competitive, lowers capital expenses, and accelerates our return on invested capital, driving long-term core FFO growth. It's time to move on. Time to get going. I want to give a big shout-out to team Camden for their outstanding performance in 2024, exceeding our operating budgets by a wide margin despite record supply. Team Camden works smart, implementing new technologies that continue to improve customer experiences and reduce costs. Occupancy and rents in most Sunbelt markets have likely bottomed. Resident retention and customer sentiment remain high. The premium to own versus rent continues to be at historic levels, making apartment homes a more affordable and attractive option for consumers. Wage growth has outpaced rent growth for the past couple of years, strengthening our residents' financial prospects and improving rent-to-income ratios. Population growth to our Sunbelt markets continues to outpace the nation. Texas and Florida added over a million new residents in 2024, which was nearly one-third of the nation's population growth. Each new family needed a place to call home. Texas and Florida are projected again to lead the nation's population growth over the next five years. The states in which Camden operates capture 58.3% of the US population growth. This long-term megatrend continues to produce outsized housing demand in our markets. We know it's time to get going, but we will not move on from Camden's why, which as many of you know, is to improve the lives of our teammates, our customers, and our stakeholders one experience at a time. Keith Oden is up next.
Keith Oden: Thanks, Ric. Camden's same property revenue growth was 1.3% in 2024, with most of our markets achieving results within a hundred basis points of their original budgets. San Diego Inland Empire and Washington DC metro both outperformed our expectations, while Austin and Nashville came in slightly below budget. For 2025, we anticipate same property revenue growth of 1% with falling between 0 and 2%. Our top five markets should see revenue growth in the range of 2 to 2.5%, and these markets account for over 40% of our budgeted revenue. Several of these markets were top performers last year, including Southern California, Washington DC metro, and Houston, and we expect Tampa to join them as one of our top markets this year. Our next eight markets are budgeted for revenue growth between 0 and 1%, and they comprise over half of our 2025 budgeted revenue. These markets include Denver, Atlanta, Phoenix, Raleigh, Orlando, Southeast Florida, Dallas, and Charlotte. In our last two markets, Nashville and Austin, which represent 6% of Camden's revenues, these markets were down roughly 3% on revenues last year and are expected to remain challenged this year given the continued levels of new supply coming online. Expect them to decline another 0 to 3% this year, but we're cautiously optimistic that they will end 2025 in a better position than where they started. As many of you know, we have a tradition of assigning letter grades to forecast conditions in our markets at the beginning of each year and ranking our markets in order of their expected performance during 2025. We currently grade our overall portfolio as a B with a stable outlook, slightly better than our B rating with a moderating look last year. Our full report card is included as part of our earnings call slide deck, which is incorporated into this webcast and available on our website. The overall economy remains healthy, and we expect our Sunbelt-focused market footprint will allow us to outperform the US outlook. We expect to see continued in-migration into our markets and strong demand for apartment homes given the relative unaffordability of buying a single-family home. We reviewed supply forecasts from several third-party data providers, and their projections range from 160,000 to 230,000 completions across our fifteen markets over the course of 2025, compared with 230,000 to 280,000 apartments delivered in 2024. Despite the wide range of estimates, the unanimous conclusion from each firm was that supply in our markets peaked during 2024 and will be declining as we move through to 2025, setting up 2026 to be a below-average year for new supply. As a reminder, these supply estimates are totals for each of the MSAs, and not all of this new product will be competitive with our existing portfolio given various submarket locations and price points. As I mentioned earlier, we expect revenue growth in the range of 2 to 2.5% for our top five markets. Four of Camden's markets received a grade of A-minus with varying outlooks of improving, stable, or moderating. Tampa earns an A-minus with an improving outlook; it should be one of our best performers this year given strong occupancy levels, manageable supply, and a boost in demand that we saw during the fourth quarter of 2024. Our Southern California markets would be next, with both LA, Orange County, and San Diego Inland Empire expected to finish in the top three again as they did in 2024. Growth rates are expected to slow a bit during 2025, given slightly higher levels of supply and less of a tailwind from bad debt declining. Thus, they received stable to moderating outlooks. Washington DC Metro would also rank as an A-minus with a moderating outlook. Supply remains in check, particularly in our submarkets in Northern Virginia and Maryland, and we expect revenue growth to be slightly below the 3.7% achieved last year. Houston rounds out the top five with a B-plus rating and a stable outlook. Houston ranked number five for revenue growth in 2024, and this year should see more of the same with limited supply and healthy demand. Most of our eight markets received a B grade with one B-plus and two B-minus ratings. We're budgeting revenue growth of 0 to 1% in all eight. We rate Denver as a B-plus with a moderating outlook, expect their revenue growth to be closer to 1% this year versus 1.6% last year given moderating supply coupled with moderating job growth. Atlanta ranks as a B performer with an improving outlook, mainly due to the progress we've made in reducing bad debt and fraudulent activity. Phoenix and Raleigh are next, integrated B with stable outlooks, followed by Orlando and Southeast Florida with B's but moderating outlooks. Phoenix, Raleigh, and Orlando should all see slight declines in supply over the course of 2025, but pricing power in those markets will likely be limited for most of this year. Southeast Florida was one of our top performers in 2024, and we expect to see moderation this year from the above-average occupancy levels we achieved there last year. Dallas earns a B-minus with a stable outlook again this year, with minimal revenue growth expected in 2025. While Dallas still ranks as one of the nation's top metros for job growth, in-migration, and quality of life, the market is still working through much of the new supply that was delivered over the past year. And Charlotte is rated B-minus with a moderating outlook. The aggregate level of new supply coming online in the Charlotte MSA is still elevated this year, and we expect our main competition will continue to fall in the uptown south end submarket. And finally, Nashville and Austin received the same grades as last year with C and C-minus respectively. Both markets posted negative revenue growth in 2024, and we'll likely repeat that in 2025 as new supply continues to pose a challenge. Our outlook for Nashville is improving, particularly outside of the downtown CBD area, while Austin's outlook is stable. Now a few details on our fourth quarter 2024 operating results. Rental rates for the fourth quarter had signed new leases down 4.7% and renewals up 3.2% for a blended rate of negative 1.2%. Renewal offers for February through April were sent out on an average increase of 4%. And as expected, move-outs to purchase homes remained very low at 9.6% for both the fourth quarter of 2024 and the full year of 2024. I'll now turn the call over to Alex Jessett, Camden's President and Chief Financial Officer.
Alex Jessett: Thanks, Keith. Before I move on to our financial results and guidance, a brief update on our recent real estate activities. During the fourth quarter of 2024, we completed construction on Camden, Durham, a 420-unit, $145 million community located in the Raleigh, Durham market of North Carolina, which is now almost 80% leased. In Camden, Longmeadow Farms, a 188-unit, $72 million single-family rental community located in suburban Houston, which is now almost 55% leased. Additionally, we continue leasing at Camden Woodmill Creek, a 189-unit, $72 million single-family rental community also located in suburban Houston. Subsequent to quarter end, we acquired for approximately $68 million Camden Leander, a newly constructed 352-unit suburban Austin community which is currently 85% occupied. This community was purchased at a stabilized yield of 5%. Turning to financial results. Last night, we reported core funds from operations for the fourth quarter of 2024 of $190.4 million, or $1.73 per share, three cents ahead of the midpoint of our prior quarterly guidance. This outperformance resulted from 0.5 cents in higher other income, and 2.5 cents in lower operating expenses driven entirely by lower than anticipated core property insurance claims and lower final tax valuations. In 2024, we delivered same-store revenue growth of 1.3%, expense growth of 1.8%, and NOI growth of 1.1%. Our 1.8% full-year expense growth was driven primarily by a decline of 0.2% and 16.9% on property taxes and insurance, respectively. You can refer to page 24 of our fourth quarter supplemental package for details on the key assumptions driving our 2025 financial outlook. One of the key drivers of this year's guidance is an uptick in acquisitions and dispositions with a midpoint of $750 million anticipated for each. Operating a geographically diversified portfolio helps ensure consistent cash flow for our investors. Over the next few years, consistent with past messaging, we will seek greater market balance by reducing our exposure to our two largest markets, DC Metro and Houston, through a combination of select dispositions and growth in our other existing markets. With a target of no one market representing more than 10% of our net operating income, and no market representing less than 4% of our net operating income by the end of 2027. Additionally, we will dispose of older, more capital-intensive assets and redeploy the proceeds into newer, faster-growing communities. We execute this plan, dependent upon the location and age of the disposed communities, there may be 0 to 100 basis points negative FFO yield differential for these matching transactions. While we expect AFFO yields to be relatively flat, the end result will be a more geographically diverse, newer, and faster-growing portfolio. We expect our 2025 core FFO per share to be in the range of $6.60 to $6.90, with the midpoint of $6.75 representing a 10 cent per share decrease from our 2024 results. This decrease is anticipated to result primarily from an approximate 6 cent per share increase in core FFO related to the growth in operating income from our development, non-same store, and retail communities resulting primarily from the incremental contribution from our five development communities in lease-up during 2024 or 2025. A 1 cent per share net increase from the timing of our assumed $750 million of offsetting acquisitions and dispositions, for tax efficiency purposes and to facilitate reverse 1031 exchanges, we are anticipating completing the acquisitions on average two months before their matching disposition. This 7 cent cumulative increase in anticipated core FFO per share is offset by a 10 cent per share increase in interest expense, attributable to $250 million of higher average anticipated debt balances outstanding in 2025 as compared to 2024, and lower levels of capitalized interest as we complete certain development communities. The higher debt balances result in part from the timing of our acquisition and disposition. For 2025, we are anticipating $485 million on average outstanding under our line of credit, with an average rate of approximately 4.9%. A 4 cent per share decrease in interest and other income due to minimal cash balances in 2025, and an approximate 3 cent per share decrease in core FFO resulting primarily from the combination of higher general and administrative, and property management expenses. At the midpoint, we are expecting flat same-store net operating income, revenue growth of 1%, and expense growth of 3%. Each 1% increase in same-store NOI is approximately 9 cents per share in core FFO. Our 2025 same-store revenue growth midpoint of 1% is based upon a flat earn-in at the end of 2024 and an effectively flat loss to lease. We expect a 1.4% increase in market rental rates from December 31, 2024, to December 31, 2025. Recognizing half of this annual market rental rate increase results in a budgeted 70 basis point increase in 2025 net market rent. We are assuming occupancy averages 95.4% in 2025, a 20 basis point annual improvement, and then bad debt averages 70 basis points in 2025, a 10 basis point annual improvement. When combining our 70 basis point increase in net market rents, with our 20 basis point increase in occupancy, and our 10 basis point decline in bad debt, we are budgeting 2025 rental income growth of 1%. Rental income encompasses approximately 90% of our total rental revenues. The remaining 10% of our property revenues is primarily comprised of utility rebilling and other fees and is anticipated to grow at a similar level as our rental income. Our 2025 same-store expense growth midpoint of 3% does not contain any significant category outliers. Page 24 of our supplemental package also details other guidance assumptions, including the plan for up to $675 million of development starts, spread throughout the year, and approximately $285 million of total 2025 development spend. Non-core FFO adjustments for the year are anticipated to be approximately 10 cents per share and are primarily legal expenses and expense transaction pursuit costs. We expect core FFO per share for the first quarter of 2025 to be within the range of $1.66 to $1.70. The midpoint of $1.68 represents a 5 cent per share decrease from the fourth quarter of 2024, which is primarily the result of an approximate 4 cent per share sequential decline in same-store NOI, driven by an increase in sequential same-store expenses, resulting from the timing of quarterly tax refunds, the reset of our annual property tax accrual on January the first of each year, and other expense increases primarily attributable to typical seasonal trends including the timing of on-site salary increases. And an approximate 1.5 cent per share increase in interest expense from our higher debt balances resulting in part from our actual and anticipated first-quarter acquisitions. This 5.5 cent per share cumulative decrease in quarterly sequential core FFO is partially offset by an approximate half-cent per share increase in core FFO related to our first-quarter acquisition activity. We are anticipating blended lease trade-outs for the first quarter to be relatively flat. At year-end, approximately 80% of our debt was fixed rate, we had less than $200 million outstanding on our $1.2 billion credit facility, no maturities over the next twelve months, and less than $250 million left to fund under our existing development pipeline. Our balance sheet remains strong, with net debt to EBITDA at 3.8 times. At this time, we'll open the call up to questions.
Operator: We will now begin the question and answer session.
Jamie Feldman: Great. Thanks for taking my question. So I was just hoping you could provide some more color on your blend assumptions. Can you talk about what you're thinking in a new and renewal lease growth throughout the year? And how do you think it trends, you know, first quarter through fourth quarter?
Alex Jessett: Sure. Absolutely. So the way I would look at it for the full year is we're anticipating somewhere between 1 to 2% on a blend. And if you look at new leases, new leases will be slightly negative for the full year. And renewals will probably be in the high 3% range. If I look at how that progresses throughout the year, obviously, we are very optimistic about the way 2025 is gonna unfold, in particular with the absorption of the new supply. And so we're anticipating that by the time we get to the third quarter, this is when we'll start to see positive new leases. And then it'll continue from that point on.
Jamie Feldman: Okay. Thank you.
Operator: And your next question today will come from Brad Heffern with RBC Capital Markets. Please go ahead.
Brad Heffern: Yeah. Hi. Good morning, everyone. Are you seeing signs right now of the impact of supply fading on the ground? And if so, what are those signs?
Alex Jessett: Alright. So we absolutely are.
Keith Oden: Alright. Go ahead. Go ahead, Alex.
Alex Jessett: Yeah. We absolutely are. And the largest indicator that we're looking at is the new signed new lease improvement throughout the fourth quarter. And although we are not gonna give quarterly, excuse me, monthly new lease and renewal data, I will tell you that we're very encouraged by what we're seeing so far in January in terms of signed new lease agreements.
Operator: Your next question today will come from Steve Sakwa with Evercore ISI. Please go ahead.
Steve Sakwa: Hi. Thanks. This is Sanket on for Steve. I had a question around transaction guidance. So after a muted couple of years from the transaction market, it seems like things are opening up and you're guiding to $750 million of acquisition and dispositions. Can you help us provide more color on this in terms of timing, cap rate, other types of buyers and seller pools, are seeing in the market today?
Ric Campo: Sure. So when you think about the last couple of years, it's been a very muted sales transaction market, and what's happened primarily is that buyers and sellers have been sort of at odds. Right? Sellers want high prices, buyers don't want to pay high prices. And so that's created a standoff between our sellers. So transaction volume has been significantly lower in the last couple of years. But I think what's happened now is that with rates continuing to be higher for longer, it sort of put pressure on the sellers and then also on the buyer side, you have a pretty constructive view of the future. Going to be a better year than 2024 from an accelerating growth perspective. And then in 2026, 2027, you're gonna have some pretty outsized rent increases. So what that's allowed buyers to do is to increase their pro forma rent growth and feel pretty confident about that so that they could actually pay maybe a higher price than they thought before because the inflection point of positive, you know, second derivatives on rental rates is gonna happen sometime during 2025. So what that's led to then is sort of a closing of the gap if you want to call it that, between the buyers and the sellers. From our perspective, since we're going to be recycling capital, we were gonna be buying and then as Alex pointed out earlier, we're gonna be selling to fund those acquisitions and as we did, you know, in our last, you know, big acquisition slash development disposition cycle, we thought we think that this next couple of years is gonna be pretty much like it was sort of after the great financial crisis and where you have a lot of transactions that have to move and you're gonna have a lot of activity and I think that it sets up really well for us to recycle capital into getting more aggressive on the acquisition side and the development side going forward.
Operator: And your next question today will come from Jeff Spector with Bank of America. Please go ahead.
Jeff Spector: Great. Thank you. Rick, I'll ask a follow-up. To that point. I mean, post-World Financial Crisis, there was a lot of distress and, you know, as of today, I'd say we're hearing mixed things or not really hearing distress. Or what do you I guess, what do you see and hear that gives you confidence that there will be similar distress that Camden can take advantage of? Thank you.
Ric Campo: Sure. Well, when you go back to the financial crisis, there was moderate distress, but it was primarily in '08, maybe '09, and '10. After that, there's really no distress. I mean, if you think about what happened, you know, the Fed took interest rates to zero, and the FDIC and the Federal Reserve propped up the banks by saying they didn't have to mark to market construction loans. And so that eliminated, you know, a lot of the distress that people thought was gonna happen after the great financial crisis. And today, the difference today during the GFC was that, as a result of the GFC, leverage is just overleveraging was just not part of the equation today. And banks have significantly decreased their commercial real estate exposure, and they've also diversified their commercial real estate exposure. So banks are stronger, borrowers are stronger, and you're in a situation where there's no real pressure on borrowers or the banks to force people to sell. And that, of course, is what creates, you know, the stress. Now there's clearly distress in the sort of C and D part of the market, you know, where you had syndicators, you know, raising money online and through GoFundMe pages, we're buying pretty low-quality properties and leveraging them up, and there's been some significant, you know, stories about that kind of distress, but not in the institutional investor quality space. I mean, today, investors are, you know, the sellers today are not financially stressed, so I don't think we're gonna get quote-unquote distressed out there. What we're gonna do is general pricing that we had during the peak. Right? Cap rates were in the threes, cap rates are gonna be four and a half to five. And, with a better growth prospect, you know, in your pro formas going forward so that you can get your IRRs, you know, up into the sevens on an unlevered basis. So it's a little different today. So I don't think that we're gonna have distress in the market and buy all these great deals. On the other hand, the deals are good. When you look at our Camden Leander transaction, it's a project and lease-up in Austin, a very complicated market. Obviously, Austin has more supply than most. We're buying the property at 15% below replacement cost. Rents are depressed. And once the supply gets worked out in Austin over the next year, you know, or so, you're gonna see outsized growth in Austin. If you look at Austin, in terms of its population growth, it's, like, number one in America on a percentage basis for population growth. So Austin's not Austin's gonna be great. 2026, 2027, and 2028. So we're able to buy below replacement costs, like they'll build there, but buy build when I can buy it below replacement cost and then be positioned in the marketplace to have outsized growth to drive that cap rate, you know, up into a really good number.
Operator: And your next question today will come from Haendel St. Juste with Mizuho. Please go ahead.
Haendel St. Juste: Hey, guys. Good morning. So if somebody could walk us through the quarter a bit and give us some color on how the portfolio performed in terms of new lease rate expectations. They seem to be a bit more resilient in the fourth quarter versus your peers. And with the stability in new lease rates, and improvement, you know, that in January occupancy, above 95%. It seemed like you could push rate a bit sooner this year than we might have previously expected. So maybe give us some color on, you know, how you think what new lease rates are embedded in the first quarter guidance provided, but broadly, you know, the sense of how much perhaps the improvement or stability you're seeing here can result in perhaps you perhaps seeing a bit more aggressive on that front. Thanks.
Keith Oden: Yeah. So, Haendel, we did have a, you know, our fourth quarter was actually a little bit better than we thought it would be, and it was pretty broad across all of our markets. And it's not, you know, in terms of expectations for next year, I think, Alex walked through those in his commentary regarding the, you know, what the full-year guidance is, etcetera. I think that the improvement that we're seeing is just stickiness around occupancy rates across our entire portfolio, which allows us to do, you know, and our pricing model to do what it does best, which is find strength and then price accordingly. So I think it's really good operating fundamentals had a good fourth quarter. As Alex mentioned, it's carried over. It looks like it's carried over into January. So, you know, last year, we had a we started out really strong in January. Good month. You know, that led into some optimism around here and maybe other places for, you know, what that foretold for maybe the first quarter full year. It turned out that wasn't really the case, and we had a kind of an air pocket in February of last year, and we don't think we're gonna see that this year. Don't anticipate that. But so far, so good. Good month in January for sure, and we expect that this is gonna, you know, it's gonna continue to improve throughout the year because every month that goes by, we're taking another big chunk out of the supply bubble that we've been fighting and continue to have in front of us, but I think things, you know, on the horizon back half of 2025 looks to be pretty constructive for us. But I think more importantly, when you get past the 2025's kind of a transition year between getting back to normal more normal supply-demand dynamics. But when you look out to 2026, and what's happening what's been happening on starts and what's likely to happen on completions in 2026 and 2027. I think we're set up for, you know, one of those two or three-year runs that are gonna be pretty impressive for the entire multifamily sector. I think, you know, where Camden's located in our markets, we're gonna benefit more than most from that.
Operator: And your next question today will come from Eric Wolfe with Citi. Please go ahead.
Eric Wolfe: Hey. Thanks. It seems like based on your interest expense guidance, you're front-loading the acquisitions. Can you just talk about the rationale around the strategy? And also, you mentioned, I think, zero to a hundred bits of potential gap dilution from this activity and that this transaction activity could last through 2027. So should we be building in our models, like, say, fifty bits of gap dilution on $750 million of transactions for the next couple of years, or is that sort of not what you meant by the sort of this continuing through 2027?
Alex Jessett: Yeah. So we'll hit both parts of it. Absolutely. The first thing is that we anticipate that we're gonna buy before we sell. And we're doing that for tax efficiency purposes. We'll do these in reverse 1031 exchanges. The second part that you have to look at is what we're looking at for 2025 is the dispositions that we will first complete will be our older, more capital-intensive assets. And so because of that, you're probably gonna see a larger spread between FFO on the assets we're buying and FFO on the assets we're selling. I think it's important to note that on an AFFO basis, that spread will be very tight. But on an FFO basis, it's gonna be a little bit wider. Call it around the hundred basis point range for what we're gonna look at for 2025. If you think about what happens as we go throughout 2026 and 2027 completing our plan, we're gonna get to a point in time where we're gonna be trading very comparable assets but just not in the geography where we want them. So for instance, we talked quite a bit about how we'll lower our exposure in DC and we'll lower our exposure in Houston. We're gonna sell a community in DC in 2026 and in 2027, I think likely that it will be a particular community that will probably trade at a pretty good cap rate, and we'll be trading that for a community in, you know, call it Nashville or call it Austin. They will also be trading at a comparable cap rate. So I don't think it's fair to take the dilution that you're seeing in 2025 and extrapolate that into 2026 and 2027.
Ric Campo: Yeah. The other thing I would add to this is that if you look at the last time we did this where we did $2.7 billion of acquisitions and $3.8 billion of dispositions. At that time, we were budgeting over a hundred basis point negative spread. Turned out to be flat. And so, you know, once the market starts getting attuned to higher revenue growth and higher NOI growth, those cap rates are gonna compress and older property cap rates are gonna converge to newer property cap rates. And then part of the challenge is that if you look at the or part of the part of the dilution issue, it's not that it's permanent dilution because of the spread but when you look at the Camden Leander transaction, it's 84% occupied. It's not finished. Right? It's not finished leasing or stabilized, so you're gonna have more dilution when we're buying, you know, properties that are not necessarily fully leased up yet. And so that's part of that equation. But I expect that the transaction market through the middle of the year will start gaining steam, which means that you'll have the $300 or $400 billion of capital that's still waiting in the wings entering the market. So cap rates, I think, are gonna be tighter and the spreads will be tighter, you know, towards the back half of the year. But we're gonna, you know, we have budgeted this hundred basis points, but I'm sure we'll do better.
Operator: And your next question today will come from Austin Werschmidt with KeyBanc Capital Markets. Please go ahead.
Austin Werschmidt: Great. Thanks, and good morning, everyone. So keeping the conversation going on your portfolio management objectives, and, Alex, you hit on this with your comments about, you know, selling down some DC and Houston, which you guys have talked about. I guess, what's kind of the right exposure for those top markets? You know, are there any new markets that you could enter, you know, with this strategic plan? And then I guess just given the constructive outlook for fundamentals the next few years, what would it take for you to lean into your balance sheet capacity instead of kind of the tax-efficient paired trade strategy? Thanks.
Alex Jessett: Yeah. So what I said on the call is that by the end of 2027, we do not want to have any one market that's over 10% of NOI. So if you think about it, there's only two markets that we have today that are over that, which is DC Metro and Houston. So that's where we'll be bringing that down. Additionally, it just doesn't make a ton of sense to us to have a market that has less than 4% of NOI. The only market that falls into that category today is Nashville. So we'll be bringing that up, and that'll obviously be one of our main target markets. When you think about leaning into our balance sheet, absolutely. The reason why we have a 3.8 times debt to EBITDA, which is number one in the multifamily sector, is because it gives us capacity and ability to take advantage of opportunities. If there are opportunities there where we can create some real value for our shareholders, and increase a little bit of leverage, but still stay below the five times level, and we can take advantage of your opportunities, we're gonna absolutely do that. So that's something that we're absolutely looking at. I think you're not gonna see that right now because right now what we're looking for is some more stability in the transaction market. And right now, there's just not a tremendous amount of opportunity. So the opportunities that are there, we will match fund with the positions in the near term. But as we go forward and execute the plan, you should see us buying and building more than we are selling.
Operator: And your next question today will come from John Kim with BMO Capital Markets. Please go ahead.
John Kim: Thanks. I want to ask about revenue-enhancing and repositioning CapEx, which you're looking to increase this year versus last year. Can you remind or update us on the typical return or rental uplift you get? What was the contribution to either blended rents or same-store revenue of $86 million last year?
Alex Jessett: Yeah. Absolutely. Well, first of all, this is the first question we've had on repositioning in about three years. So thank you, John, for bringing those back in. Our reposition program has been an absolutely tremendous success. We are generally getting somewhere around an 8 to 10% return on invested capital for what we're doing. And the way you should think about that is that generally equates to about $150 plus or minus per door in additional rent. When I look at the impact in 2024 from repositions, on an NOI basis, it was, you know, call it 10 to 15 basis points, which is certainly not nothing. I mean, certainly something that makes a ton of sense to us. But you have to really remember that the real reason why we do repositions is it refreshes our portfolio. If you think about the type of real estate that we build, on the exterior, it is absolutely timeless. But like everything else, kitchens and bathrooms are what really shows the age of a development. It shows the age of your house. And so if we can go in and we can refresh a kitchen and a bathroom and make it look brand new, and on the exterior, it looks brand new, it really does create a natural defense against the new supply that we see in the market. You think about a brand new asset has a much higher basis, and, of course, whoever owns that. We can have an asset directly next door or directly adjacent that looks brand new, has brand new kitchens and bathrooms, and because we have a lower basis, we can charge a lower rental rate, and it positions us incredibly well. So the reposition program is something that makes a ton of sense to us. Something that you're gonna see us do quite a bit. The other thing that I'd point out is that we're also looking at repurposing some of our real estate. And what that means is looking at space that we have at a community, call it a basketball court, an indoor basketball court that nobody uses, etcetera, and turning that into additional units. And that makes a lot of sense to us as well.
Operator: And your next question today will come from Rich Hightower with Barclays. Please go ahead.
Rich Hightower: Hey. Good morning, everybody. I just want to get a sense of, I mean, I think it's been a pretty consistent theme this earnings season that there is a, you know, a pretty progressive step up in blended rents and ultimately rent growth in Sunbelt markets over the course of the year, but I'm trying to get a sense of the risk that all of us are wrong about the pace of supply dropping off over time and how much of that cushion is baked into current same-store guidance?
Ric Campo: Well, I think, you know, when you look at anyone's numbers, whether it be Wint or RealPage or, you know, the supply is baked. I mean, you know, for the next two years right now, you're not starting a bunch of units. I mean, most supply is down and markets are down or starts are down 50, 60%. You know? In a couple of markets, it's up a little like Phoenix, but it's all on the west side of Phoenix, and we happen to be on the east side of Phoenix, which is a big difference. And so I think I don't think there's a lot of risk on the supply being ratcheted up. I mean, when you look at the pressure on the developers today, when the ten-year is pushing four and a half, and short rates haven't dropped as much as people thought they would they dropped. Construction costs, while they're not up dramatically, they're also not down dramatically. There's still a lot of pressure on construction costs just to keep them. We've done we submit that they're up maybe one or two percent from last year, but that doesn't include tariff issues. We did an analysis on tariffs. On tariffs, we'll add another two to three percent in cost. Most of the products are bought. Lumber comes out of Canada. A lot of products from Mexico, electrical boxes, and things like that. So, you know, there's I would say that with the current cost structure, you have to really pro forma significant rent increases in 2026, 2027, 2028 in order to make a pro forma work. So I don't think that there's a big risk in a big, you know, upturn in development starts. Unless you have rates fall dramatically, construction costs fall dramatically, and that's just not happening. So I think there's pretty low risk from a supply perspective. I think the bigger risk probably is in what happens to the overall economy. I mean, if we have a recession in 2025, then I think all bets are off on how well the, you know, how well things progress, and that's that I don't think that's on people's radar screens, but I do think that's probably the bigger risk when you think about how 2025 could play out versus but it's not gonna be on the supply side. I mean, the supply is coming. We know it's coming, then it stops. And it's gonna take even if it even if you had a 50% increase in starts this year, wouldn't come into play until 2027 or 2028. It just takes that long to deliver. So I think we've got clear sailing on supply. At least through the end of 2027, end of 2028.
Operator: And your next question today will come from Amy Probandt with UBS. Please go ahead.
Amy Probandt: Hi. Thanks. So you discussed Tampa, LA, San Diego, Washington, D.C., and Houston as the top market. Do you think that Camden's performance in these markets is representative of the overall market, or are there some Camden-specific attributes that are leading to stronger performance? And then specifically, on Tampa, you mentioned a boost in demand in the fourth quarter. So I'm wondering if that's hurricane-related. Thanks.
Keith Oden: So, yeah, on Tampa, it is hurricane-related for sure. And eventually, that will, you know, that will moderate over time. I mean, we've seen that happen in Houston with Harvey, etcetera. So that was definitely a hurricane-related thing. On the performance in those other markets, I think you look at, you know, look at the peer group, and then in those other markets, the biggest overlap that we have with the public market peer group is in Washington DC metro, and I think everybody had pretty constructive commentary around what's happening in Washington DC metro. Houston is the differentiator for us because we're the only public company that has any meaningful presence. And as Alex pointed out, it's 13%. It's our largest NOI concentration market that we have. Now we're committed to bringing that down to single digits over some period of time, but the reality is that Houston has just been a great performer for the last year and a half and again looks like it will be in 2025 as well, and that's a combination of relatively low supply. You just didn't have the waves of when all of that the current pipeline was being put in play, a couple of years ago, Houston sort of got missed because of a lot of other issues. But the energy sector is performing incredibly well, and I think all indications are that that's gonna continue to be supported and maybe even much more supported than it has been in the last four years. So those two markets for sure, I think, you know, anybody that has assets in those markets done pretty well on California. Southern California's story is pretty good as well, and a lot of that is driven by the cessation and working through all of the COVID-related initiatives to include, you know, coming down on bad debts, etcetera. So I think that that's also a pretty good story for anybody that owns assets in Southern California. So, you know, we tend to operate better in our markets on metrics, on occupancy, and NOI growth across the board. So there's probably some candidism just the way and the efficiency with which we operate our portfolio and our time in these markets and understanding on the helps. But, you know, all five of those markets, if you got assets in those markets, you're probably really happy right now. And looking forward to, you know, let's bring on 2025.
Ric Campo: I would brag a little bit more on Camden's execution ability. You don't become one of the one hundred best companies to work for on Fortune's list for seventeen years straight if you don't have a great team. And, you know, we all know the Super Bowl's coming up on Sunday. We know that it's not just one player, it's team, it's philosophy, it's energy, it's that synergy that brings the best out of the players, and in our case, our players are, you know, working every day and believing in that they need that they really want to take care of their customers, and that just adds value and customers feel it. And so when you have a really, you know, very great team, it's gonna have incrementally it's gonna benefit customers and lower turnover. And when you ask somebody to raise their rent, they're gonna say, yeah. Okay. I like this place, and you guys are fun. And great people. And so, sure, I'll pay more. But, that's, I think that's a big part of Camden. There's a question.
Operator: And your next question today will come from Rob Stevenson with Janney. Please go ahead.
Rob Stevenson: Hi, good morning guys. Regarding the $175 million to $675 million development start guidance, can you talk about where expected yields on any of these new starts are penciling today given construction costs and expected rents if you need to wait for anything to start those projects, and also, where is the expected yield there versus the expected yield on the three North Carolina assets you currently have under construction?
Ric Campo: Sure. Our projected yields given the current, you know, backdrop with cost and rental rate growth and what have you, is around 6%. And that's kind of where our starts, you know, our development numbers have been. Including the ones that were currently under construction. But I will tell you it's not easy to find a lot of developments that pencil to those numbers. And so that's why we haven't been able to lean in as much as we'd like to, but, you know, I think given the markets that we're in and where our developments are located, we should have access, you know, outsized rent growth that can get us to those numbers or better.
Operator: And your next question today will come from Adam Kramer with Morgan Stanley. Please go ahead.
Adam Kramer: Great. Thanks for the time. Wanted to ask about Washington DC a little bit and maybe a few questions in here. But I think just first, just maybe the latest on demand there. Obviously, a lot of headlines around what's happening with kind of federal workers and maybe, you know, smaller federal government. So maybe just what's happening from the demand side in the last couple of weeks there and maybe what your outlook is as maybe the composition of the government changes. And then just as the second part there, again, still in DC, what are you guys seeing in terms of cap rates or even you on a per square foot basis in terms of the transaction market in DC?
Ric Campo: Let me hit the current transaction market first. DC is a great transaction market. Cap rates are in the, depending on the property, in the mid-fours to, you know, high fours. Plus or minus. So there's still a decent demand there. And when you look at the fact that DC has been an outperformer from the revenue growth, last couple of years and will continue, we think, be in that kind of a category range, I think that transaction volume will be good. When you think about government changes, it's really interesting. Look at some of the single-family markets there. I mean, there's been a spike in prices for for-sale property there because of the transition, because of the new administration. There always tends to be more demand during transitions than if you just had an incumbent win. I'll let Keith talk more about the current demand. Go ahead, Keith.
Keith Oden: Yeah. I mean, you know, it's trying to figure out the cross-currents right now between, you know, kind of what's being talked about versus kind of thinking about what he thinks is actually gonna happen as Venice it's a crapshoot, I think. And, you know, for every time you hear, you know, government potential of government downsizing of people, I think, the latest number I heard was out of they offered everybody in the entire federal government, you know, a buyout, a package, and the last count of I think it was up to twenty thousand or twenty-five thousand people who said they're gonna sign up for that, which is a rounding error of the total federal workforce. So I think at the same time, that conversation's going on. You're having a it's another broader conversation about if you're a federal employee, that you're gonna have to come back to the office. And so I think that there's probably a knock-on effect there of DC proper, which frankly for us has been the weak link in our DC metro portfolio for the last two years. And it could very well be that as people have to return to work in an actual office, a preponderance and a big portion of which are in DC proper that it's gonna make more sense for them to potentially move back closer to or into DC proper. So I think there's a lot of cross-currents, I think there's a lot of talk. And I think you're probably never gonna go broke betting on the under on, you know, how many federal employees are actually going to go do something else regardless of who asked them to do so.
Alex Jessett: And I'll tell you, year to date, DC Metro has our highest increase in signed new lease rates.
Operator: And your next question today will come from Julian Bloyne with Goldman Sachs. Please go ahead.
Julian Bloyne: Yeah. Thank you. I just wanted to ask on the spread between the low end and the high end of development starts in 2025? Sort of what drives you to sort of trend closer to the low end versus the high end this year?
Ric Campo: It's just a matter of making sure that we hit what we believe would be reasonable spreads and a reasonable return. I mean, if one of the things that we've seen just take Nashville as an example, I mean, Nashville is so busy from a development perspective, costs were enough so dramatically, you couldn't get anybody to bid your jobs. We have seven deep of subcontractors bidding on our Nashville nation's property. So what happened then is that a, you had construction costs flattened maybe go down a little, and then b, on the other hand, you have a broader subbase which means that that tells me that once we execute contracts, we can probably get buyout of anywhere from two to three or four percent less when we buy out the contracts rather than just asking them to tell us what they would go for. So it's gonna be so towards the middle of the year, we will have a better view of when that second derivatives turn positive in a lot of these markets. On rental rates, and that would just give us more confidence to lean in. So it's really a decision about we need to get paid for development risk. So we need a hundred to a hundred and fifty basis points positive spread between what we can buy for and what we can build for. And then we have to have the confidence that the revenue growth is gonna be there in 2026 and 2027 and 2028. We'll get more confidence to that midyear. So that'll determine, you know, sort of whether we get to the high end of that range. One of the other, I think, opportunities that we could see basically as merchant builders who can't get their deals done and we can then step into those deals and get those done. We have historically done that a lot over the years, especially during transition times like we have now. And so we might be able to pick up some of those that can't get done either. So that could, you know, push us towards the high end of that range as well.
Operator: And your next question today will come from Connor Mitchell with Piper Sandler. Please go ahead.
Connor Mitchell: Hey. Thanks for taking my question. Maybe just going back to the broader transaction market, appreciate all the color so far. And it just seems like there's still a ton of money bidding on apartments inside financing costs and the expectations for rent growth to eventually overcome that obstacle. But you guys had talked about the maybe the increased pickup in the back half of the year. So I guess my question is just how much longer do you think the negative leverage will last, especially thinking about how much more there is to come in transactions in the back half, and I guess just a quick follow-up on that. Do you think that the market might be too aggressive on the rate of growth being underwritten for 2026 to 2027, or is it really that high of an expectation that justifies the negative leverage? Thanks.
Ric Campo: Well, that's what people are betting on. For sure is that 2026 and 2027 are gonna be outsized growth years. And, you know, if history is any indication of, you know, of what might be the future, that's exactly what's happened over the years. You have a downturn, have excess supply, you have a recession or what have you, and then what happens is you have a snapback. And, you know, usually, supply continues to be robust, but we know that supply is not gonna be robust. And if the job market just holds up, the economy holds up, and we get, you know, 2% GDP growth through one and a half to 2%, you can or develop buyers are gonna be underwriting, you know, significant rent growth in 2026 and 2027, 2028. Otherwise, they would never they can't make their numbers. Right? And especially when you look at where the prices are today. So I think what's gonna happen that will drive buyers and sellers closer together is the NOIs are gonna go up in some markets in 2025, and when you think about our top markets, our NOIs are growing. And so even if the cap rate stays the same, the cash flows are growing, and you have a trajectory that you can count on. And then, hopefully, you know, I think people are betting on even though rates are gonna be higher for longer, over a longer period, they believe that they're gonna come down some. So I think the combination of supply, the ability to drive your revenue growth and your NOI growth, gonna keep people in the belief that they will continue to buy even with negative leverage today. I think long term, if the NOI growth isn't there and if rates don't come down some, cap rates have to go up. Or you're gonna have a sale made between the buyers and the sellers. And so we'll see what happens, but right now, the market's pretty robust and what happens is really interesting. There was a transaction, for example, that we're bidding on in Nashville recently. And, you know, if you're trying to buy at a specific cap rate like we are, the seller basically just said, look. We hear your number, and we're gonna pull. And their view is that they're gonna get a higher price in the future. The cap rate will be the same perhaps, but their cash flow growth will be higher. And so I think there'll be an interesting it'll be very interesting to see what happens between now and mid-year to the end of the year. In 2025, but I think it's gonna be a more robust transaction market. I think all the signs are that that will get that positive second derivative on new rent growth, and that's going to create a lot of opportunity for sellers to come into the market and for buyers to buy.
Operator: And your next question today will come from Michael Lewis with Truist Security. Please go ahead.
Michael Lewis: Thank you. I wanted to come back to this decision to have no more than 10% of your portfolio in any market. So, you know, there's been this trend toward diversification in apartment REITs lately. As you know, a lot of that is coastal investors diversifying into more of your markets. Are there any markets that you just think are better? Right? They're just flat-out better apartment markets for the next ten or fifteen years or whatever it might be. Or is that not really the case? There's nothing structural or secular there. I'm just thinking about, you know, does this decision say more about Houston and DC or does it say more about, you know, a wide opportunity set across your markets and being a little bit difficult to distinguish?
Keith Oden: So I would say it's more about the opportunity set across all our markets. And when you say some markets are better, well, it depends on when. For example, three years ago, Houston would have been at the Houston and Washington DC were the problem children in Camden's portfolio. It's all anybody wanted to talk about, and it's a lot of what we talked about internally because those are our two largest markets, and they were underperforming and had been for about two, you know, two or three years straight. So fast forward, here we are today, Washington DC Metro and Houston are a top two performer or in the top five and probably slated to be, you know, in the top two or three for this year and probably next year as well. So if you'd ask that question, you know, or are some markets just better. Yeah. I mean, four years ago, all of them would have been better than Houston and DC Metro, and today, it's reversed. It's more about just having a balance among fifteen markets that we absolutely love. You know, every market that's in our portfolio has the characteristics that exemplify what we want to see. In-migration, job growth, you know, consistently performing on the ability to move rents over time and to operate done. Assets at an, you know, from an expense standpoint, at a level that allows us to grow cash flow. So it's not a statement anyway about DC and Houston. It's just a statement about we got great opportunity in other markets, growth opportunities in markets like Austin and Nashville where we're underweight. And it's just balancing those opportunities.
Operator: And your next question today will come from Nick Uhlico with Scotiabank. Please go ahead.
Nick Uhlico: Hey. Good morning. This is Daniel from Paragon with Nick. Alex, I wanted to clarify your answer to Jamie's question at the beginning. You said new lease rates turning positive in Q3. Continuing from there. You know, does that mean it's gonna continue to improve on an absolute basis? Like, are you assuming, like, a normal seasonal pattern into the fourth quarter? Or is there a, you know, is there a comp benefit with being absorbed that would cause Q4 to look seasonally?
Alex Jessett: Right. So we're gonna return to seasonality, and at least that's what's in our budget. And so what that means is that you see the positive new lease rates in the third quarter and then in the fourth quarter, that's always our softest quarter. It's just there's just not a lot of people who want to move around the holiday season, etcetera. And that's usually when we have the least amount of pricing power. And so you should see it start to return to a more normal seasonal pattern at that point in time.
Operator: And your next question today will come from David Segall with GreenTree. Please go ahead.
David Segall: Hey. Thank you. I just wanted to drill down a bit more onto the proposed developments part development starts. Can you ballpark the rents or rent per unit you would need to achieve in Nashville and Denver to achieve the 6% yields?
Alex Jessett: Yeah. There's Alex. I don't. We'll have to get back to you with that.
David Segall: Okay. Great. Thank you.
Operator: And your next question today will come from Alex Kim with Zelman and Associates. Please go ahead.
Alex Kim: Hey, guys. Thanks for taking my question. I always appreciate the sound choices leading up to the call as well.
Alex Jessett: No problem.
Alex Kim: I was wondering if you could talk about your leasing trend so far for the three communities in lease-up. And how that flows into the lease-up revenue line for the quarter and then more broadly for your 2025 view. Thanks.
Alex Jessett: Yeah. Absolutely. So if you look at the communities that we have in lease-up, two of them are the single-family rental communities. And we've been very upfront that our single-family rental communities are the particular demographic that they're slowly leasing. They just are. It's that looks for that product type has a tendency to show up once, then they show up again, then they show up and they measure a bedroom and make sure that their furniture can fit, etcetera. And so it is a slower leasing. The good news is that we think they're gonna be really sticky. And we think once they're in, the turnover if it takes them that long to make a decision to move in, we think it'll take them equally as long to make a decision to move out. But that's what we've been seeing. When I look at Camden, Durham, which is our last, the third one that's in lease-up. During the fourth quarter, we had the type of leasing that we'd expect, which is slower. As I said, to one of the previous calls, the fourth quarter is always the slowest quarter and that's no different whether or not it's a new lease-up or an existing asset. That being said, if you look where they are, so Woodmill Creek is 89% occupied, Durham is 78% occupied, so both of those are getting very close to stabilization. And so, obviously, we should get some uptick in 2025 from those two as they stabilize. And then Longmeadow Farms is a little bit behind the other two just because it started after them. At 53% leased.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Ric Campo for any closing remarks.
Ric Campo: Well, I appreciate your time today, and we're glad to close out the earnings season for the large-cap multifamily. So we'll see you at the next conference or next roadshow.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.